Operator: Ladies and gentlemen, thank you for standing by, and welcome to Aptar’s 2021 First Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Introducing today’s conference call is Mr. Matt DellaMaria, Senior Vice President, Investor Relations and Communications. Please go ahead, sir.
Matt DellaMaria: Thank you. Hello everyone. Thanks for being with us today. Joining me on today’s call are Stephan Tanda, President and CEO; and Bob Kuhn, Executive Vice President and CFO. Our press release and accompanying slide deck have been posted to our website. If you are following along on the website, you can advance the slides by hovering over the presentation screen and clicking on the arrows on the right and on left. As always, we will also post a replay of this conference call on the website. Today’s call includes some forward-looking statements. Please refer to our SEC filings to review factors that could cause actual results to differ materially from what we are discussing today. I would now like to turn the conference call over to Stephan.
Stephan Tanda: Thank you, Matt, and good morning, everyone. I hope that you are doing well. Starting on slide three, you will find a few highlights from the quarter. We serve patients and consumers across a variety of end market. And this makes after a resilient business through economic cycles. In the most recent period is no exception. We have the industry's widest range of dispensing systems, active material science solutions and drug delivery technologies and services that we leverage across our reporting segments. Our customers benefit from our commitment to research and development, and the new innovations that allow us to help them grow their own businesses. It has also maintained our strong focus on sustainability, and Aptar was recently named among the Top 10 companies for reducing environmental impact by JUST capital, alongside Dell, IBM, Microsoft, MasterCard, and several other large companies. As you saw in our press release, issued yesterday, reported sales increased 8% and core sales increased 1%. This is of course, compared to the first quarter of 2020 and COVID-19 was not yet the major factor in our quarterly results. We also achieved an adjusted EBITDA margin comparable to the prior year, while absorbing the mix shift within our pharma segment and the relative mix across our three segments. Our food and beverage segment deliver a stellar performance this quarter as consumers continue to cook at home during the pandemic, driving strong demand for our innovative food dispensing closures. Price increases also contributed to our top line growth that we are passing on increased resin costs to our customers. Demand from the beverage market was below the prior year. Though sales grew modestly on the resin price adjustments. In pharma the increased demand for our injectable components including supplying some of the COVID-19 vaccine distributions, and increased demand for our active material science solution, including those for COVID-19 test kits, offset declines in the prescription drug and consumer healthcare markets. As we had mentioned when giving guidance for the quarter, fewer non-critical doctor visits and the lower incidence of cold and flu illnesses have resulted in certain pharma customers drawing down inventory levels of allergy and other respiratory treatment delivery devices. We continue to be well positioned to niche healthcare sectors and receive these pandemic related supply chain adjustments as transitory. In beauty and home, sales to the personal care and home care markets increase, while sales to the beauty market declined due to the continued low level of retail beauty activity related to the ongoing pandemic related lockdowns. We are cautiously optimistic that the second half of the year will show a recovery in the beauty market. We are also maintaining initiatives to contain costs and manage inflation that includes raising prices to offset increases in raw material and other costs, while investing in key growth areas including adding capacity to supply the beauty market in China. Many of our customers remain optimistic that consumers are harboring pent-up demand for the beauty products that will help bring a feeling of normalcy to the lives post pandemic. In addition to the beauty market, we also expect the hair care category to recover as more consumers go outside and move about and we are already seeing small but positive trends on CARE in the U.S. Turning to slide four, and new product launches, I would like to briefly comment on several product introductions that will highlight the breadth of our offerings. In pharma, our active material science technology was selected to protect two new at-home COVID-19 tests that recently received Emergency Use Authorization from the FDA. These tests provide convenient access to testing without the need to visit the doctor's office. Our technology is integrated into these diagnostic kits to protect against moisture and other environmental conditions that would otherwise impact test accuracy. In the prescription drug market, our unidose powder device is being used in a pivotal trial of intranasal powder-based Naloxone by Nasus Pharma. Also landmark's new nasal spray treatment which combines an antihistamine with steroids to treat allergic rhinitis was recently approved in Europe with our nasal spray device. This confirms that the ongoing conversion to nasal delivery continuous in this important area. In the injectables market, we continue to support various COVID-19 vaccine distributions in all regions, with the most recent projects being added in India and Latin America. In beauty and home, our E-commerce capable high-flow pump was chosen by P&G for their new indie brand shampoo called Native. And our post-consumer recycled resin closure was selected by P&G for their planet KIND refreshing face wash. We also supplying a PCR solution to Unilever for the Dove brand purifying charcoal and clove hydrating body wash. In Europe we are providing the pump for in-store refillable personal care products in aluminum bottles for The Body Shop and our fragrance pump is featured on the Flora and Guilty Gucci perfumes by Coty. Finally, L'Oreal is using our airless jar for its Revitalift facial skincare product in China. In food and beverage after infant nutrition closure was selected for the Crème de la Creme, instant and rich milk powder for Europe and for HiPP combiotic in China. Our closures with valves for inverted condiments are the dispensing solution for several barbeque, mayonnaise ketchup and jelly products in Brazil. Also in the condiment aisle our dispensing food closures are featured on Mike's Hot Honey Original Sauce and Berman's Hot Sauce Original here in the U.S. Finally in the beverage market our sports closure is featured on two new flavors of a well-known functional drink beverage in China. With that, I will now turn it over to Bob, who will provide additional comments on our results. Bob?
Bob Kuhn: Thank you Stephan, and good morning everyone. I will walk through some of the details around the first quarter performance, starting with slide five. As Stephan stated, for the first quarter, we reported sales growth of 8%. with core sales up 1%. I will go into our growth by market shortly, but want to comment on our earnings first. We reported earnings per share of $1.24, which is an increase of 48% over the prior year. Current period reported earnings included a non-cash pre tax gain of $17 million or $0.19 per share related to an increase in the fair value of an equity investment. This investment happens to be our investment in PureCycle Technologies, our strategic partner pursuing Ultra-Pure post-consumer resin that will one day be part of our circular economy. Turning to slide six. First quarter adjusted earnings per share excluding restructuring expenses, and the gain on the equity investment increased 10% to $1.09 per share on a comparable basis with the prior year, including adjusting for currency effects. Our earnings also reflect certain tax benefits, including the tax deduction that we receive from stock-based compensation that as you know, can fluctuate from quarter-to-quarter. Aptar's adjusted EBITDA increased 6% to $152 million compared to the prior year. And this included the positive effects of currency translation rates, as well as the impact of the shift in business across our markets and resin cost increases. Briefly summarizing our segment results, our pharma business performance was mixed across the different divisions with total segment core sales even with the prior year, and then adjusted EBITDA margin of approximately 35%. Looking at sales growth by market compared to the prior year, core sales to the prescription market decreased 8%. And core sales to the consumer healthcare market decreased 1% for the reasons that Stephan mentioned earlier. Core sales to the injectables market increased 14% with higher demand for our vaccine components. Price accounted for approximately 2% of the total growth and about one-third of the remaining growth is from COVID related sales, mostly to supply vaccine distributions. Core sales of our active material science solutions increased 5% primarily due to increase sales of our active containers used for probiotics. Turning to our beauty and home segment, core sales decreased 3% and the segment's adjusted EBITDA margin was 10% in the quarter and was negatively impacted by increased resin and other raw material costs, which are passed through where possible, albeit through a process that has typically been on a 60 to 90-day lag. With unit sales growth by market on a core basis, core sales to the beauty market decrease 10% due to continued localized lockdowns, especially in Europe, and global travel restrictions, which have caused a significant reduction in traditional retail, the duty free sales. Core sales to the personal care market increased 2% due to continued strong demand for our hand sanitizer and liquid soap dispensers. Wholesale to the homecare market increased 13% and strong demand for our cleaners and disinfectants, and some automotive products. Turning to our food and beverage segment, which had a solid performance, core sales increased 14% in the segment achieved adjusted EBITDA margin of 17% primarily due to the ongoing strength in the food market. Looking at each market, core sales to the food market increased 19% as consumers continue to dine at home trend because of the pandemic. Core sale for the beverage market increased 2%, primarily due to the pass-through of higher resin prices. Moving to slide seven, which summarizes our outlook for the second quarter. Current underlying demand conditions in most of our markets are not expected to change dramatically from what we experienced in the first quarter. The anticipated demand for our prescription drug and consumer healthcare devices will remain under pressure compared to the prior year as customers continue to work off existing inventories. However, in some of our other markets, including beauty, we will have easier comparisons to the prior year second quarter, which was the most difficult period when you consider the impact of pandemic lockdowns. We expect a second quarter adjusted earnings per share, excluding restructuring and any change in the fair value of equity investments to be in the range of $0.91 to $0.99 per share. The estimated tax rate range for the second quarter is 26% to 28%. In closing, we continued to have a strong balance sheet with a leverage ratio of 1.4. On a gross basis that the capital was approximately 37%. On the net basis, it was approximately 31%. In addition, we continue to invest in innovative growth projects, and we are confirming our forecasted range of capital expenditures for the year at a range of $300 million to $330 million. At this time, Stephan will provide a few closing comments before we move to Q&A.
Stephan Tanda: Thank you, Bob. In closing, on slide eight, I'd like to mention that the broad range of end markets that we serve makes Aptar a very resilient company through economic cycles, and the most recent period was no exception. The wide variety of technologies and solutions that we provide, combined with our commitment to R&D, and new innovative solutions will further build upon our solid customer pipeline. We have a profound respect for the environment that drives lower energy consumption, landfill free facilities, and sustainable product designs, we will continue to advocate for a circular economy in which packaging is reused and recycled. Therefore, our positive mid and long term view is unchanged. And when we look past this global pandemic induced crisis, the future is quite promising. We look forward to going after for the long term benefit of all stakeholders. With that, I would like to open up the call for your questions.
Operator: Thank you. [Operator Instructions] In the interest of time, and fairness to all participants, please limit yourself to two questions and one follow up question. Then come back into the queue. If you have more questions as time allow. Your first responses from George Staphos of Bank of America Securities. Please go ahead.
George Staphos: Thanks very much. Hi, guys. Thanks for taking my question. Hope you're doing well. Thanks for the details. I guess the first question I had is really more a point of clarification. Bob and, Stepfan, when you talk about not much change in trends in 2Q versus what you saw on 1Q, I assume you're talking about the year-on-year change that you saw on 1Q in terms of volumes, more or less occurring at the same rate in 2Q. You're not saying volumes are flat, 2Q versus 1Q. Just want clarify on that?
Stephan Tanda: Yes. That's correct. Basically, when you look exponential, the pattern that we've laid out, I think we will continue to see some destocking on the pharma side and the recovery in beauty and home, which really depends on Europe reopening will not be in full swing yet. But of course sequentially improving and compared to quarter two of last year, which was the bottom, very strong growth, but the overall demand pattern similar to what we saw in Q1.
George Staphos: Okay. Appreciate the additional color there, Stepfan. If we talk about pharma and both consumer health and RX [ph]. So we're still going through the destocking. Is there anything that's unique about this destocking period that we're going through relative to others that you've seen in the past? And if you can remind us, whatever that context might be, then, one, when you think we'd begin to see some inflection on the volumes in those categories, as well.
Stephan Tanda: Yes. I think Bob can speak a bit to history. But what I've learned is that when this happens, it usually is a two quarter roughly, and so we certainly expect this to be behind us in the third quarter. It's -- you see, of course, potential inventory buildups at multiple levels at our direct customers, at the drug manufacturers, in the trade, in the homes, and clearly, in hindsight, there has been some buildup as people were getting ready for the pandemic and making sure everybody stopped. And now, we see the result with a non-existing flu season, a muted allergy season last year, as people were staying indoors, they're masking up. On the other hand, it will run its course. Can you may hear from my voice I can personally attest the allergy season is in full bloom and strong. And if people go outside, they will be affected. And we have no doubt that unfortunately flu season also come back as people are running out in the bout. And you saw that with the Glenmark approval, we continue to see conversion to nasal delivery in the allergic rhinitis category. And then, of course, on top of that we have a strong central nervous system franchise. So there's no reason not to believe that the long term growth rate of around 6% for this category and six to 10 for pharma overall will not return. But maybe Bob, you can speak a bit more to history.
Bob Kuhn: Yes. No. I think I think you nailed it, Stephan. Typically, two quarters is about what we've seen in the past. So I think, as Stephan mentioned, we do see us returning to grow starting in Q3 and seeing to above this stock compared to any others.
George Staphos: Thanks, Bob. Thanks Stephan. My last one quickly. Just you mentioned that beverage was relatively flat. Could you talk about the regional trends there? And are we still seeing the lingering weakness in Asia come back? Or is that -- was that a non event in the quarter? Thank you guys.
Stephan Tanda: Yes. Actually, China, as you know, has reopened already a year ago. So they're in full swing and there the beverage category is no exception. Clearly what we're missing is the on-the-go beverages in Europe and [Indiscernible] in the U.S. As the U.S. is really reopening just now, I think New York is going back to normal in the coming weeks. And Europe is really the core of this four months behind the U.S. Now thankfully, we see more and more definition also in Europe that things are coming together. Germany's getting its act together around vaccines, the UK is doing better. France going to reopen in May 15. Hopefully that's going to stay open. So we certainly have some confidence that Europe will reopen about a quarter, maybe for four months behind the U.S. And that will be very good also for the on-the-go beverage business.
George Staphos: Thank you.
Bob Kuhn: Yes. I would add a little more color on the geographic side. So really beverage was up in every region except for Europe. And if we just look generally speaking across all the segments, Europe was either flat or down in Europe for the other segment. So I think that the remarks about mid quarter Europe reopening are going to be very helpful and beneficial across all three segments.
George Staphos: Thank you.
Bob Kuhn: Mid-year in May or mid-quarter -- mid-year Well, in May 15, in Europe reopening from mid quarter we'll start to see things turnaround.
Operator: Your next response is from John Kreger of William Blair. Please go ahead.
John Kreger: Hi. Thanks very much. Stephan, could you just maybe go back to your -- and then you quickly just sort of reiterated your long term expectation for the pharma business. But maybe just kind of reset that a little bit? What is the pipeline of opportunities that you guys have been seeing recently, tell you about the various components within the pharma business? And what you think that'll kind of do long term as we get beyond the pandemic?
Stephan Tanda: Yes. We just walk through the categories, the punch line is really don't see any change the things to 6% to 10% long term. When you start with allergic rhinitis, clearly the base allergy business is kind of low single digit, but you will have additional conversions going on, see the Glenmark approval. And then you have geographic growth in that business as allergies obviously not just a Western phenomenon. And then, continuing in Rx, of course, the central nervous system category continues to grow nicely. We called out the clinical trial with the Powder Naloxone. Just this morning Hikma, got approval for a higher dose Naloxone drug called KLOXXADOTM. So, and we see good project flow in the central nervous system category. So then you go with the consumer healthcare, of course, the congestions, sailing ophthalmic, all target rich environment. And injectables, as we've discussed on calls before, we've been really heartened by the new project activity, and kind of the recognition of Aptar's capability as part of the whole vetting of the COVID supply chain. Now, we're still a small player in this large market, but we see good project activity and continue to grow there. And then the active packaging, we calling out the approval of the in-home COVID tests. That is another proof point for the powerful technology that are active material solutions business provides for important tests, whether it's diabetes, whether it's COVID. And of course, the probiotic category continues to grow. So across the board, a lot of reasons to support the 6% to 10%. As you know, we've been for a number of quarters well above that. Clearly, there's inventory drawdown, normalizes some of that, but no reason not to continue to see that 6% to 10% growth.
John Kreger: That's helpful. Thank you. And then maybe for a follow up. Can you just talk a little bit about any supply chain pressures you're seeing? And how you're managing it both from the standpoint of raw materials, and also just sort of labor and productivity across your facilities?
Stephan Tanda: Yes. I think you touched on all the things. Clearly, there are friction losses as the economy starts to sputter up to higher speed again, whether that's logistics availability, freight rates, air freight rates, labor availability, and pricing. Clearly, as we have to hire people, train them, there is more cost there. And we, of course, are working hard to pass that on. But clearly, we are very cognizant of a more inflationary environment. And I'm making sure that we pass it on so we have price increases slotted in for later in the quarter. Some of those will be announced, some of them they'll just be put through. So clearly, as I said, last time, you don't just push a button and the economy goes back to full speed. There are friction losses, but we're working through those and so our suppliers and so do our customers.
John Kreger: Great. Thank you.
Operator: Thank you Your next response is from Mark Wilde of BMO Capital Markets.
Mark Wilde: Good morning, Stephan, Bob, Matt.
Stephan Tanda: Good morning.
Mark Wilde: Stephan, I want to just to start out. If you could give us a little more color on what you're hearing from your beauty and fragrance customers. Earlier in the week, one of your peers was suggesting that they were starting to see some pickup in fragrance activity. And you sound a little more cautious about that. So I wondered, if you can just update us on what you're seeing kind of around the world in beauty and fragrance?
Stephan Tanda: Sure. Of course, it all of those depends on what you're comparing to. If you compare to quarter two of last year, of course, it's better. But you're comparing to this quarter two of last year. But if we walk around the world, China is in full steam. Very happy, for example, with L'Oreal project that we highlight were it clips pre pandemic level within some time and project activities good. India is a bit worrisome. So, while it's not a big factor in our numbers, clearly the pandemic there is in full -- fully active with significant impacts. And that will also impact a bit our beauty business there, lesser the pharma business. Latin America has remained quite resilient through the pandemic, and obviously very concerning what's going on there. But it hasn't impacted the consumptions level as much as it has in other regions. In the U.S., clearly, we start to see the opening now. So we see improvement there. And the key question for us is Europe. And of course, that's for us a very important question, because that's where a significant part of our business is. And Europe is not where the U.S. is, in terms of reopening. As I said, we expect the three to four months lag in the reopening of Europe. That puts its clip squarely in the second half. And then for us -- in addition, of course, it's very important that travel activity resumes and that impulse purchase in the duty free get triggered. And customers are very positive. They have a bunch of launches in their planning. We are working with them. But they're not going to pull the final trigger until the travel activity resumes. And certainly, we're not going to hit Mother's Day in Europe. And then, the next big events are in the fall in China and end of year Christmas in the Western world.
Mark Wilde: That's helpful. And then, Bob, just a couple of financial items as a follow on. Can you first of all give us some sense of how big you estimate that resin headwind to be in both the first quarter and second quarter. And then, can you just talk briefly about the tax rate. It's been dancing around a lot in recent quarters?
Bob Kuhn: Sure. So, on the resin side, roughly, we had about $6 million across all segments kind of negative impact on EBITDA. The majority of that was going to be inside beauty and home. And then the majority of that relates to resin, resin increases. But there's also other substrate increases that we've seen like aluminum metal as well that are contributing there. We're actually anticipating approximately the same impact in Q2. So if you think about it, we'll be passing on the price increases, as Stephan mentioned, but essentially we'll be catching up for Q1. While we believe that the input costs are going to continue to increase in Q2. So it'll be the second half of the year before we catch on Q2 increases, again, assuming some stability in input costs for the second half of the year. On the tax rate. So, this is sort of a couple items. The most significant was the additional benefit we get from stock-based compensation, which really is the delta between the in the money, exercise price for legacy options versus book expense. So those are virtually impossible to forecast. But you can see with the share price having the run up that it's had, you do tend to get additional option exercises. And then in Q1 we had our two blessings as well. So it's the benefit of the increase in the share price that's triggering outside tax deductions, but that's a good thing. That's a real cash seen.
Stephan Tanda: Yes. I don't say its bad [ph].
Bob Kuhn: Absolutely right. That's not a deferred benefit. That's a true cost savings. So you did also see some state tax law portion that changes in Alabama, which benefits our active material solutions business down there. But that does have lesser impact on the tax rate. So you see that we guided slightly lower than typically have for tax rates 26% to 28%. And that was nearly kind of looking at exercises to date already. And kind of putting that already baked into the rate. So it's really, really challenging to forecast what those exercises is going to be because it relates to things that are kind of outside of our control.
Mark Wilde: Okay. Thanks so much, Bob.
Operator: Thank you. Your next response is from Ghansham Punjabi with Baird. Please go ahead.
Ghansham Punjabi: Good morning, everybody.
Stephan Tanda: Hi, Ghansham.
Ghansham Punjabi: So, on the on the beauty and home segments. So I'm just looking at our model. It looks like volumes have been down on a year-over-year basis for about eight quarters. I mean, obviously, a ton has happened in between there in terms of COVID and so on and so forth, channel destocking, et cetera. But Stephan, how would you benchmark that progression relative to the end markets over that time period? And then on the flip side of that, as vaccines get deployed and some of the bigger markets such that you're exposed to in Europe, et cetera, would we see a commensurate rebound that's actually faster than maybe appears just as a consequence of the coming out of the flip side of this COVID issue?
Stephan Tanda: Yes. Overall, I think with the exception of some personal care, hair care, misses in the U.S., before we went into pandemic. I think we certainly have been in line with market. There are other areas where I would certainly hear from our people that we've gained market share. So on balance, I would say, though things cancel each other at least out and certainly things that we are in line with market. And on the speed of recovery, whatever assumptions you're making about the reopening of Europe, and the travel assumptions, I think, the commensurate bounce back of especially fragrance sales, but also duty free sales will go with it. So I'm not sure how much color I can give you there. But maybe Bob, you have a different way of describing it.
Bob Kuhn: No. I don't think. You adequately described it.
Ghansham Punjabi: Okay. And then on the -- for the second question, in terms of your customers, I mean, clearly, you've seen the velocity increase for beauty products in China as they came on the flip side of COVID, et cetera. Can you just touch on activity level for maybe your larger customers specific to B&H as a position in front of the vaccine deployment and potential reopening of Europe? And then a separate question on active material, you call our some of the technology being used for COVID. tests and stuff like that? Are there other opportunities associated with active material that you can sort of leverage into other future growth verticals within testing and so on and so forth in pharma?
Stephan Tanda: Sure. I'm going to address let Bob address here active materials. But let me take the first part of the question. Project activity in China is very brisk. And while I wish we had a much larger footprint there and larger -- and therefore larger share of the growth, given our footprint and given our current footprint, given our current activity level is very high. And as I mentioned before, customers appreciate of course, our global capability to execute, especially on projects there that across regional. And while many customers are in the middle of shifting some of their filling and execution capability to Asia, there's still a lot being filled in Europe. That is for China. So very happy with the activity level in China. In Europe, I think, with the different analogy, I think, their horses are in the gates and they're waiting for the gates to open. And clearly, people have not launched new fragrances during the pandemic, but they have new launches ready. We are on fair, maybe unfair share part of those launches. Sampling activities certainly has picked up also more in the E-commerce format. But having said all that, the proof of the pudding is in the reopening. And we need to reopening in Europe to happen.
Bob Kuhn: And so, on the active material solution. So, [Indiscernible] had a presence in the diagnostic category. If you think of diabetes test strips, obviously, that's a form of diagnostics. There also some application in Europe that using our technology and DNA test kits as well. So this whole new in-home COVID testing is really interesting and exciting for us. You're also on customers clean kit and was even a pre-pandemic as well. So you do like this space a lot. The technology certainly has increasing it at more speed and in the space. And will be a crowded space, right? You already see some in-home COVID test kits that are out there, but you have a lot of people talking about this is just the beginning of being able to provide more than just COVID testing. You could have a -- you can imagine a -- neither in the home or you could test for, have separate strips for flu, for bronchitis for you name it. And that could be the first step before you reach out to your doctor. So we'll see how it all plays out. But definitely, we would like the space and we think it can continue to progress.
Ghansham Punjabi: Thanks so much.
Operator: Thank you. In the interest of time and fairness to all participants, please limit yourself to two questions and one follow up question. Then come back in the queue, if you have more questions as time allow. Your next response is from Gabe Hajde with Wells Fargo. Please go ahead.
Gabe Hajde: Stephan, Bob, Matt, good morning. I was curious if you guys could comment at all on some -- and how some of the joint ventures/minority interests are performing. I'm kind of thinking about Kali Care. And maybe some other connected devices. And I appreciate that there relatively small and still embryonic. But I thing the seasonality where Aptar has been successful in the past. And in terms of kind of nurturing cultivating in these technologies and then once they're kind of more widely adopted enable to leverage your distribution and global footprint. So just anything that stands out to you, I guess?
Stephan Tanda: Sure. Maybe just a context for everybody. We look at M&A invention really to complement our organic activities, complement organic growth with bolt-on acquisitions and complement our in-house R&D and innovation was Venture investments. These venturing investments are really there, necessarily drive internal rent to capital business, but really get a front row seat of innovations usually with Venture investments we combined, bode seat or some kind of license or rights. So I think that make good linkage with our business. So you mentioned, Kali Care. Of course, we've done Propeller, which then was sold and we made a good gain on with that some more Also in the connected device space. And in the food area, we've looked at or we've invested in Loop. And in a second system in Eastern Europe, in terms of re-fillable containers at retail and in between the bolt-On M&A and the venturing investments, joint ventures and sometimes those joint ventures are acquisitions and stages. So mainly, I would highlight BTY in China, which really is an acquisition in stages. But we are already now leveraging their capability to built our beauty project pipeline in China. So by in large, this is a very rewarding area. Sometimes you win from a capital gain point of view. I mentioned already Propeller. Of course, we recorded a big paper gain this quarter. But that's not they're main purpose. They're purpose is really make sure that the generation happen. And if we stick with PureCycle for a moment, I mean, the main purpose for PureCycle investment was really to make sure that food grade post-consumer recycled polypropylene becomes a reality, because that's what we need. We certainly have no intention getting into the basic materials business. But we need food grade full recycled polypropylene and the PureCycle technology certainly has seen very promising. And when we did our due diligence, and certainly, it seems like the capital market degrees. That's really the purpose of these investments. And if we make a gain on them, that's also great. But the purpose is really to advanced the innovations and advance our organic efforts.
Gabe Hajde: Thank you. And I guess, the next question comes down to the transformation plan or restructuring that kind of initiated three years ago, give or take. I think it's supposed to yield $18 [ph] million in savings. And obviously, the pandemic kind of threw a wrench in that. But I think you guys have delayed some footprint consolidation efforts. I was curious if you could update us on how those are progressing. I guess, given a little bit more stability in the operating environment. And then, again, I guess, just for us in the outside world to understand that you would still envision came back to kind of mid teens margins and beating home, again, assuming some sort of normal volume environment?
Stephan Tanda: So the short answer to that last point is ,yes. That is the expectation. And certainly those are what they're used the analogy as the horse being ready and the gates ready to go. On your question on the delay? Yes, we have delayed. The North American footprint are optimization as with the pandemic moving equipment around, starting up equipment in different locations proved more challenging. So that will be with us through the middle of this year. But it should be done by the middle of the year. So certainly, between raw material being a drag of about a margin point and the delay in North American footprint optimization another margin point. Those are transitory and will go away and specifically on the footprint of optimization that should be done by the middle of the year.
Gabe Hajde: Thank you guys. Good luck.
Stephan Tanda: Thanks, Gabe.
Operator: The next response is from Adam Josephson with Keybanc. Please go ahead.
Adam Josephson: Thanks. Good morning, everyone. I hope that Justin Fields tech went over well and Crystal Lake last evening.
Stephan Tanda: Well, we won't comment on that for several years.
Adam Josephson: Stephan, just on beauty and home, just to follow up on a couple of Gabe's uestion. So, appreciating that beauty and fragrance is not coming roaring back as yet and Europe is still on lockdown. And you have the resin related hits, concentrated in beauty and home. What do you think is a reasonable expectation in terms of when you can get back -- either get back to mid teens EBITDA margins or recover a good chunk of say, the $50 million EBITDA that you lost last year?
Stephan Tanda: I think the best guidance I can give is what we said before, in a normal post COVID volume environment, we should get back to that 15 range and build from there. So the question is, when is that post COVID normal volume environment. I'm not going to put a pin in the calendar. We've all set to a year ago, we're never expecting that this pandemic would still be with us a year later. But we're standing by that guidance. And the resin pass-through, yes, its slower in the beauty and home business than it is in the food and beverage business. But it will happen. So that I'm very confident about in addition to passing on the other inflationary increases. And as I mentioned, the North American footprint optimization will be done in the middle of the year.
Adam Josephson: Yes. That's fine. Thank you. And also following up on one of Gabe's questions on the restructuring in beauty and home. That was over three years ago, much has happened in terms of currency, COVID, personal care issues, et cetera, et cetera. But what have you learned since then, compared to what you're initially expecting in terms of generating that $80 million of savings. What has gone as you expected it to? What has gone differently? And what lessons have you learned since then?
Stephan Tanda: If you go through the different elements. So, in terms of restructuring the front end of the business, you can really divide it up in two things. One is creating smaller accountable entrepreneurial units with dedicated sales forces. And then, advancing the practices to contemporary best practices in terms of salesforce management, customer project management, customer project, conversion tracking, moving from longer cadence to weekly cadence. And then making sure the car doesn't go into ditch as you of course correct before. I think, by and large, I'm very happy with what we did there. We are never finished with this. You're never -- you need to keep training those muscles. For example, the price increase muscle, again, needs to be drained here, as we entered this period. But by and large, from the commercial front end, very happy, we keep building there. We have much stronger leaders in place in their small entrepreneurial units. And very happy with that. I think I spoke earlier about the learnings on the operational improvement, some of those took longer, and in a few cases, we had to go back and do it again. Those of you who are schooled in Six Sigma know that I have to -- with each project that at the end there is a control plan and make sure you don't slip back. In some cases, the control plan was not as good as I would have hoped. So that is probably a lifelong learning. The changes you make for them to stick, you got to make sure that those changes are irreversible, and don't move out the door with the next organization change, or people change. The paper learning you make every time, but that's par for the course, I guess. At this moment, I'm quite happy with the operational performance of those sites. The KPIs on the right place. Over the same period of time our safety performance just use one benchmark move from -- moving much worse than industry average to being now close to world class. That is just one indicator how we've improved, how we do these operations. But of course, we need the volume to go through them. Then when you get to the fixed cost improvements, I think there we are quite happy with what Bob done in building up a shared service center in the Czech Republic and streamlining the back office. Only partially happy with the fixed cost reduction in Europe. The learning certainly is that worked out when brands are not the easiest to deal with. But we make progress piece by piece by piece. And that continues. Now having said all that, the operational improvements, though have been quite significant enough that we were able to take plants offline sooner than we thought. In Europe, for example, the plant in Ireland, the plant in Spain, in the U.S., we got hit by the pandemic. But certainly going into the transformation, we were not expecting to take three plants offline in the northeast, which we will now be doing. So there's also some positive surprises. I think, overlay of all that is of course, the massive shift of growth to the East. And we've never done. And we will have to continue to make sure that we are very well-positioned to capture the growth in the East. Its kind of long answer to your question.
Adam Josephson: No. Thank you Stephan. I appreciate it.
Operator: The next response is from Neel Kumar with Morgan Stanley. Please go ahead.
Neel Kumar: Great. And thanks for taking my question. In food, you've had a few quarters of very strong growth. You think that some that trends can carry through into the second half of the year as at home consumption starts to come down. And you see any some sort of changes in the market post COVID that are competitive?
Stephan Tanda: Well, on the food, team is really doing an excellent job. It's probably a bit underreported. We roll the attention to beauty and home, but we have a strong team in place there. And the growth is not only a mathematical result of the pandemic and in-home consumption, but competitive wins for new projects, strong expansion in Asia. And certainly with beverage coming back, I have no doubt that they will continue to grow also in the second half.
Neel Kumar: That's helpful.
Bob Kuhn: In the post -- I'd say, in the post-COVID advantages, suddenly we're going to get some puts and takes. I think what's important that we'll keep an eye on is how robust those, the sanitizer and the cleansing environment and washing your hands is. Is that is that going to stay. Is that here to stay. But certainly as people move out of the lockdown into getting out and vacationing more, we would expect categories like sunscreen, and things like that to improve. Even if people are dining out more on the food side. And we see a little bit of a pullback on some of that in-home consumption. Remember that we've got a struggling part of our food business, which is food safety, that we should see a rebound. So as one goes up, the other one may -- ones is down rather the other ones come up. And certainly we talked about improving beverage situation when people are back out traveling on the go and things like that.
Neel Kumar: Okay. And then in terms of some of the input inflation you're seeing, are the non-resin raw materials also contractually passed through at a similar 15 to 90 day lag of resin? Or does that work differently? And then from a cash flow perspective, you set the higher resin and raw material prices to negatively impact working capital?
Stephan Tanda: So on the other substrate increases, those are more in general, in many cases, you're talking about complex, multi component products like pumps and aerosol valves and things like that, it tends to be a little bit more of a basket of goods approach. So when we trip certain thresholds, yes, we'll pass it on. And certainly with some of those increases that we've seen, we have tripped some of those. So that is kind of an additional pass through on that. On your cash flow question, I would say, the $15 million decrease in free cash flow that we saw last year first quarter to this year, is primarily coming from slightly higher inventory levels. And that I would think, partially could be due to slightly higher costs, but I think it's probably more due to some of the supply chain disruptions that we experienced in Q1. Not having containers to ship internationally, issues in truck capacity and things like that. So we were carrying a little bit higher levels of working process and finished goods into our plants and we have in the past. I see that is also transitory.
Neel Kumar: Great. Thank you.
Operator: Thank you. Your next response is from Salvator Tiano with Seaport Global. Please go ahead.
Salvator Tiano: Yes. Hi, Stephan, Bob and Matt. So firstly, I want to touch basically a little bit on personal care. I think you mentioned that the core sales growth year on year was 2%. And if I remember correctly last year, you're still competing against. Well, you should have been competing this year against the destocking you saw? And I'm wondering if that 2% growth shows that there's a deceleration in personal care demand now?
Stephan Tanda: Not sure. I can't follow your question.
Salvator Tiano: So from -- yes.
Stephan Tanda: Go ahead. I was going to say, just give a little bit more color on personal care. So, we're still very strong from a product category in our lotion product category. And that's typically products that you'd see for personal cleansing, sanitizers and body lotions. We're still suffering a little bit on the hair care side, and a little bit on the sun care side. So that's moving somewhat that growth coming from personal cleansing category?
Salvator Tiano: Okay, perfect. My second question is which you can provide, I think, some more color on what was the price contribution in food and beverage in core sales growth? And also, if there was any meaningful price in Q1 for beauty and health and pharma as well?
Stephan Tanda: Yes. So on an overall we start at the top, overall, for the company as a whole, it was about a 1% positive impact on the core sales growth. It had a stronger impact on food and beverage which is about 6% positive of the 14% positive. And then it was less than a percent positive on beauty and home. So about a half a percent offering.
Salvator Tiano: Okay, perfect. Just my last question. When you look at pharma and obviously you have Q1 and also Q2 with software prescription and consumer healthcare demand. But you meant, my understanding is, for example, in this quarter -- last quarter this injectable growth was worth 400 basis points roughly from COVID tailwinds. So when we put everything together over the past year, how will the judge call its effect on pharma's bottom line, when we take into account demand margins, everything?
Stephan Tanda: I'm going yield to my own level. It's tough, right? I mean, we haven't gone through that math. I would -- again, it's similar to kind of what I was just discussing in personal care, right? We are getting a positive on the injectable side of the business. We're getting a positive on the active material side of the business. But really, those are smaller divisions compared to the total, RX and THC contribution. So how depends on how you categorize that right, if COVID is responsible for the lower incidence of colds and flu, that's a negative on the nasal decon, right? If less doctor visits and primary care visits and reason for the allergy and asthma related products, destocking, the math and negative and that's about all. But we really haven't gone into that level of granularity on the pharma business.
Bob Kuhn: I mean, just as a reminder, if you zoom out, overall, the prescription unit is by far the highest margin followed by the consumer healthcare. Then comes back the packaging and injectable is in line with the industry, but in this lineup, the lowest in terms of profitability. So certainly, as the top line makes moves, so that the profitability, we've been able to absorb the part of that this quarter. But certainly, if you have the top line in mind, I think you can approximate the bottom line impact.
Salvator Tiano: Okay, perfect. That's very helpful.
Operator: Thank you. There are no further questions in the queue at this time. I will now turn the call back over to Mr. Tanda.
Stephan Tanda: Thank you very much. This concludes our call today. Certainly this year will be the story of two half. Very optimistic about the second half of the year. And I would like to thank everyone for joining us.
Operator: Thank you. This concludes today's conference call. You may now disconnect and have a good day.